Operator: Greetings, and welcome to The Eastern Company's Second Quarter Fiscal Year 2025 Earnings Call. [Operator Instructions] And please note, this conference is being recorded. I will now turn the conference over to your host, Marianne Barr, Treasurer and Corporate Secretary. Ma'am, you may begin.
Marianne Barr:
Treasurer & Secretary: Good morning, and thank you, everyone, for joining us this morning for a review of The Eastern Company's results for the second quarter of 2025. With me on the call are Ryan Schroeder, Chief Executive Officer; and Nicholas Vlahos, Chief Financial Officer. The company issued an earnings press release yesterday after the market closed. If anyone has not yet seen the release, please visit the Investors section of the company's website, www.easterncompany.com, where you will find the release under Financial News. Please note that some of the information you will hear during today's call will consist of forward-looking statements about the company's future financial performance and business prospects, including, without limitation, statements regarding revenue, gross margin, operating expenses, other income and expenses, taxes and business outlook. These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to review or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties, please refer to risk factors discussed in our SEC filings, including our Form 10-K for the fiscal year 2024 filed with the SEC on March 11, 2025, and our Form 10-Q filed with the SEC on August 5, 2025. In addition, during today's call, we will discuss non-GAAP financial measures that we believe are useful as supplemental measures of Eastern's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. A reconciliation of each of the non-GAAP measures discussed during today's call to the most directly comparable GAAP measure can be found in the earnings press release. With that introduction, I'll turn the call over to Ryan.
Ryan A. Schroeder: Thanks, Marianne. Good morning, and thank you all for joining us today. We do appreciate your interest in The Eastern Company. Revenue for the quarter was $70.2 million. That's down 3% from prior year. Adjusted earnings per share was $0.56, which was very similar to our Q2 2024 results. We have made great strides improving and reducing costs in each of our 3 companies as well as our corporate overhead this last quarter. We overhauled Big 3's operating footprint with the closure of our Dearborn, Michigan facility as well as a warehouse while opening a smaller facility in Sterling Heights, Michigan, purpose fit for our design and prototyping businesses as well as strategically placed among our largest customers. Salaried headcount reductions occurred at Eberhard and Velvac as well as at our corporate offices. All in, there were 60 jobs impacted with an annual savings of $4 million. We updated and refreshed our strategies within each of the companies, and I'm thrilled to report Eberhard has been ramping up its participation in the all-new United States Postal Service delivery vehicle. The government awarded this program to our long-time partner and customer, Oshkosh. First -- this is the first major replacement vehicle for the United States Postal Service in almost 30 years. Eberhard is supplying a multitude of custom design products and systems on each vehicle. Ramp-up is continuing for the remainder of the year, and this is a perfect example of how Eberhard excels, custom engineered fit-for-purpose access control solutions. Additional updates from the quarter include a share buyback program repurchase that completed with 400,000 shares purchased, 82,000 of those shares were purchased in the quarter. We completed the sale of our Centralia mold assets and have rolled the other 2 mold businesses back into continued operations. And our teams have been very effective at managing tariffs. The Velvac and Eberhard teams have been able to virtually neutralize the impact on their P&L thus far. And Big 3 Precision is unusually well positioned to benefit for being made in America. At this point, I'd like to hand it over to Nick for some more details on the quarter itself. Nick, over to you.
Nicholas Vlahos: Thanks, Ryan. I'll focus my review today on the company's financial results from continuing operations for the second quarter of 2025. Net sales in the second quarter of 2025 decreased 3% to $70.2 million from $72.6 million in last year's second quarter. The decline was primarily due to decreased sales of truck mirror assemblies. Our backlog as of June 28, 2025, decreased $20 million or 19% to $87.1 million from $107.3 million as of June 29, 2024, driven by decreased orders for returnable transport packaging products of $18.4 million and latch and handle assemblies of $1.3 million. As Ryan will discuss later in this call, this reflects demand changes and industry pullback on EV offerings and volume. Gross margin as a percentage of net sales was 23.3% for the second quarter of 2025 compared to 25.4% for the prior year period. The decrease was primarily due to increased costs incurred as we transitioned a mirror project from customer-provided material to in-house sourcing. As a percentage of net sales, product development costs were 1.5% for the second quarter of 2025 compared to 1.8% for the 2024 period. Selling, general and administrative expenses increased $1 million or 9.4% in the second quarter of 2025 compared to last year's period. The increase was primarily due to $1.8 million of restructuring charges, offset by lower personnel costs of $0.2 million and $0.7 million of other reductions. Other income increased $0.1 million in the second quarter of 2025 compared to the same period in 2024. The increase was the result of gains on marketable equity securities offset by lower lease income. Net income from continuing operations for the second quarter of 2025 was $2 million or $0.33 per diluted share compared to net income of $4.1 million or $0.65 per diluted share for the 2024 period. Included in net income were restructuring charges of approximately $1.8 million or $1.4 million net of tax, which resulted in an impact of $0.24 per diluted share in the quarter. As Ryan noted, we expect the RIF we undertook to result in approximately $4 million in annual cash cost savings. Now turning to a non-GAAP measure. Adjusted net income from continuing operations for the second quarter of 2025 was $3.5 million or $0.57 per diluted share compared to adjusted net income of $4.1 million or $0.65 per diluted share for the prior year period. At the end of Q2 2025, our senior net leverage ratio was 1.32x compared to 1.23:1 at the end of 2024. In addition, we invested $0.8 million in capital expenditures and paid dividends of $0.7 million in this year's second quarter. As of June 28, 2025, inventories totaled $54.1 million, down $1.1 million from the end of fiscal year 2024 and $2.8 million compared to the end of Q2 2024. During the second quarter of 2025, we repurchased 31,000 shares of common stock under the share repurchase program Eastern's Board authorized in April 2025. To date this year, we've repurchased 82,000 shares totaling approximately $2.1 million. Net debt reduction of $4 million in Q2 2025 and $5.9 million in the first half is another indication of our capital allocation focus. That completes my financial review. I'll now turn the call back to Ryan.
Ryan A. Schroeder: Thanks, Nick. So I'll spend a little bit of time here talking about the 2 high-level markets that we participate in. Our 2 largest end markets are heavy truck and automotive, both of which are challenging at the moment, which I know many of you have heard during this earnings season. On the automotive side, the number of model changes are greatly reduced this year, but is expected to increase significantly in the out years. Model changes is a critical driver for our business at Big 3 Precision as it usually requires new racks and returnable dunnage. Class 8 truck fleet age has increased significantly beyond historical means. This will most certainly lead to an increase in demand as the cost to maintain fleet becomes too burdensome. That really has driven that the Class 8 truck market is a big indicator for the Velvac performance. To sum it all up, the business environment has impacted our top line, but with all the efforts and initiatives, we have been able to minimize the hit to our profit. And we do expect to see recovery in the coming months and quarters. Next steps for Eastern, we will be staying nimble and close to our customers to mitigate the effect of the changing environment. We'll be focused on margin protection, and we'll have -- and we have built flexible and resilient supply chain. Careful management and evaluation of expenses has put Eastern in a solid position. This will continue for the remainder of the year. We do believe the challenging environment brings unique opportunities from an M&A standpoint, and we do intend to be very active but disciplined in this regard. So with that, operator, I'd like to open it up for any questions that we have. Beyond questions, I'll have a few remarks to close the call.
Operator: [Operator Instructions] Okay, sir, we currently have no questions on the lines at this time.
Ryan A. Schroeder: Excellent. Well, from a closing remark standpoint, I'd like to just say thank you for joining us this morning. There are certainly challenges in the markets we compete in, but at the same time, there are many compelling opportunities. I'm proud of how much our companies have accomplished this quarter, which is most certainly setting us up for success in the near future as well as in the long term. The new leadership team is in place, along with a strategic refresh of each of our businesses. Our conservative balance sheet allows for a unique and opportunistic approach to M&A and/or continued share buyback. We look forward to giving you another update after the third quarter. If you need any additional information in the meantime, please reach out to us. And with that, I'd like to say thank you as we close the call.
Operator: Thank you. Ladies and gentlemen, this does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation.